Operator:
Operator: Good morning and welcome to the Berkshire Hills Bancorp 2015 Earnings Release Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Ally O'Rourke, Investor Relations Officer. Please go ahead.
Ally O'Rourke: Good morning and welcome to America’s most exciting bank. Thank you for joining us in this discussion of first quarter results. I would like to begin by introducing the members of the executive team participating today. We have President and CEO, Mike Daly; Executive Vice President and Chief Financial Officer, Josephine Iannelli; Executive Vice President and Chief Risk and Administrative Officer, Richard Marotta; Executive Vice President, Retail Banking, Sean Gray; Executive Vice President, Commercial Banking, George Bacigalupo and Executive Vice President, Human Resources Linda Johnston. Our news release is available on the Investor Relations section of our website, berkshirebank.com and will be furnished to the SEC. Our discussion will include forward-looking statements and actual results could differ materially from those statements. For a discussion of related factors, please see our earnings release and our most recent SEC reports on Forms 10-K and 10-Q. With that, I will turn the call over to Mike Daly, President and CEO. Mike.
Michael P. Daly: Thank you, Ally and good morning everyone, thanks for joining us this morning for our first quarter call. I’ll provide an overview of the quarter and then I’ll turn it over to Josephine Iannelli, our Chief Financial Officer, and she will take you through some of the details on our financials and then I’ll wrap it up. So we were pleased with our results this quarter and we maintained our momentum growing core EPS by 4% over the fourth quarter and 19% year-over-year. We had strong loan and deposit growth and a continued focus on fee income. Once again, we posted solid credit quality and improving profitability. Now importantly we’re once again seeing the benefits to our net interest margin through our asset management and funding strategies and Josephine will provide a little more color on that in just a few minutes. We of course completed the acquisition of Hampden Bank, which I’m happy to report was done a couple of weeks ago on schedule. Glenn Welch, Hampden’s CEO has joined our executive team, I think he is excited about and so are they. The combined company now has $7.2 billion in assets and we’ve moved into the top five for deposit market share in the Springfield area. Our team did hit the ground running collaborating on commercial, small business, private banking, wealth management and insurance products. We’ve been working diligently towards the full integration which will happen in the third week end in June. Joe will comment in a few minutes on the financial impacts, but things are off to a good start and we’re excited about our expanded presence in that market. Once again, we produce commercial loan growth with total commercial loans up 14% annualized for the quarter. Eastern Massachusetts continues to be our strongest market led by our ABL team, but we’re seeing good results across the franchise and things are noticeably heating up for us in Hartford area. With the addition of two seasoned commercial lenders Peter Samson, who joined us last month as our new commercial leader in Connecticut, and Dave LaSalle who joined us last fall along with the rest of the very experienced team that’s been there, I would expect to see some additional momentum there this year. We’re also looking forward to working with our new team in Springfield. Now Luke Kettles, Hampden’s Senior Lender has been named the regional leader for the Pioneer Valley, he’s already working closely with the team here on opportunities for increasing products and services in our combined customer base. Looking ahead, our pricing remains challenging in our markets and we’re mindful of maintaining our margins. As we discussed last quarter, we’re actively managing our loan portfolio, we expect to be selective in our renewals and our new business. Now that being said we’ve a robust pipeline heading into the quarter and we continue to target double-digit annualized commercial loan growth. Given the combination of improving economies, the strength of our teams, our competitive positioning and the strong relationships we’re developing across our very markets, I’m pretty confident in our ability to continue to hit this goal. We’re also making further strides on the small business side as well and I talked about the strategy with recruitment and SBA in our last call and I’m happy to report we received an award last week from the Massachusetts SBA Director naming us the SBA Lender of the quarter, for being one of the most active SBA lenders across the state. So I’m proud of the work these guys are doing and I would expect to see further results with the addition of Hampden’s well establish business bankers as well. On the consumer side, we strategically manage both the auto portfolio and the residential mortgage portfolio lower. We discussed on previous calls our desire to limit new production of lower yielding indirect auto loans and you’ll continue to see us actively manage that. Mortgage volume actually picked up due to the drop in rates, but we sold more of this volume as you might imagine to manage interest rate risk. So altogether, our total loans grew at 4% annualized rate over the fourth quarter and I would expect we would continue to post mid to high single-digit organic total loan growth next quarter although the combined results are going to look significantly higher due to the Hampden acquisition. Turning to deposits, we had a 6% annualized increase in deposits this quarter and most importantly demand deposits grew on an 11% annualized rate. Now we’ve been focused on growing personal accounts and we continue to benefit from our expanding small business of bank in a middle market relationships as well as what I think is a better brand recognition across our footprint. Looking ahead, we’re targeting a low single-digit annualized organic growth rate here with a continued focus of cores on the DDA. Again, total loan growth will be significantly higher due to the Hampden acquisition. Now you have heard a talk about optimizing our branch network and that accommodating the needs of our consumers is of course a priority for us, but in the first quarter we did identify five branches for consolidation including three Hampden branches that are in close proximity to current Berkshire locations. All of these branches are scheduled to consolidate over the summer and in the meantime we’re looking closely at some additional opportunities for branch efficiencies this year, so I would expect that we will have more to say about that on our next call. Our new Hampden customers will be benefiting from additional products and services including as I said insurance and wealth management and of course the customers in the Hartford Springfield market will now enjoy the convenience and accessibility of the additional seven branches that we are keeping with Hampden. We’re also launching Apple Pay for our customers this quarter and we’ll continue to make enhancements to our online platform, so it’s a nice balance. Turning to fee income, we posted 6% growth over the fourth quarter and 9% growth year-over-year. We’re focused on our fee based businesses to drive additional growth in the first quarter we recruited a well known private banker in Albany, a wealth management advisor also in Albany and a new leader for our cash management solutions team. We’ve also tweaked our incentive programs for our sales teams which in the first quarter significantly increased qualified referrals to our wealth management platform, obviously it makes me wonder why we didn’t do that sooner, but our conversion rate on these referrals has been very good, so we are making significant progress here. Fee income is a key driver reaching our profitability goals, now this is a strategic priority for us and you will continue to hear us talk about the ways we’re developing our fee businesses throughout the year. I think we have an opportunity to deepen our wallet share in many of the areas across our footprint and we intend to take advantage of that. So I'm now going to turn the call over to Josephine, and she will walk you through some more of the financial details. Joe.
Josephine Iannelli: Thanks, Mike and good morning everyone. I'll go ahead and get started. Core EPS came in at $0.50 for the first quarter. We reported $0.42 per share for the same periods in 2014. Our GAAP EPS was $0.35 reflecting the non-core charges associated with the Hampden acquisition and restructuring charges. We grew our core EPS by $0.02 or 4% from $0.48 in the prior quarter, this included a $0.04 benefit from higher earnings on investments and tax advantage project development. The benefit offset a $0.03 reduction and purchase loan accretion, due to the seasoning of our acquired loans. I'll speak more about these items, but net of these we posted a penny organic increase despite the seasonal weather impacts and including a pickup in mortgage banking. We feel good about this start to the year and I'll also be commenting on some regular seasonal items and our revenues and expenses, but generally these are offsetting and our results show that we move the ball forward with sensible growth in a challenging quarter. I'm also pleased to note that through our balance sheet management we improved our net interest margin to 3.15 from 3.12 before the impact of purchase loan accretion. We benefited from our efforts to shift the balance sheet mix towards higher yielding commercial loans and away from the lower yielding indirect auto and investment securities. I'll add that our commercial yields improved by three basis points to 393 before accretion due to the strategies we discussed last quarter. A further benefit of these strategies is that with the related growth in DDAs we were also able to bring down our deposit cost during the quarter. As anticipated, our purchase loan accretion decreased further and contributed only $300,000 to interest income, compared to the $1.7 million in the prior quarter. Purchase loan accretion including scheduled run off and recoveries is expected remain at these lower levels and we’ll update you on any Hampden impact on the next call, including accretion the NIM decreased to 3.18 from 3.23 during the quarter. Net interest margin is expected to come in close to the same levels in Q2 as in Q1. Turning now to fee income, as Mike commented on the 9% year-over-year first quarter fee income growth and our focus on further developing these revenues, our first quarter results include seasonally higher insurance commissions and we got a nice boost in mortgage banking revenues, including both volume and margin components. We expect to continue to post solid organic fee revenue growth including the contribution of our new hires in wealth and private banking. We also expect that mortgage banking revenues will remain elevated due to the favorable market conditions. Off note, like our other community bank acquisitions Hampden had a lower amount of fee income as a percentage of total revenues, so we expect that this ratio will decline modestly in the second quarter and of course over the longer term we expect to develop revenue synergies here from our larger product set. Our loan loss provision remains flat at $3.9 million in the first quarter and exceeded net charge off of $3.2 million. Our credit metrics remain favorable and looking forward we’re expecting a slight tick-up in the provision relating to the expected loan growth. Moving out to core expenses, fees were seasonally higher in Q1 and a little higher than expectation due to the harsh winter and the strong volume in mortgage banking. These factors contributed to an upward tick in the efficiency ratio during the quarter. Looking at Q2, we do expect core expenses to rise a little bit based on some investment strategies which I'll touch on in a minute. The efficiency ratio, however, is expected to move back down below where it was in the fourth quarter of last year and to continue to improve as Hampden merger and expense discipline benefits are achieved. We maintain a strong focus on this ratio in our goal to move it under 60% over the medium-term. Non-core charges for the quarter were primarily associated with the Hampden acquisition and the branch restructuring initiatives. We’ll be recording additional non-core charges in the second quarter including the bulk of the acquisition costs and the Hampden branch consolidation. Also, other brands restructuring charges may exceed what we recorded in the first quarter. All that being said, we do expect to have most of this non-core activity behind us in the second half of the year. Our profitability measures improved in the first quarter including sequential improvements in core ROE and core ROA. Our core return on tangible equity increased to a solid 12.1% and our capital ratios improved based on this internal capital generation. Our tangible equities, our tangible assets stood in an even 7% at quarter end and the Hampden acquisition is expected to provide a further benefit in the second quarter. I mentioned on our last call that we’ve been actively pursuing additional opportunities to boost our investment in tax advantaged commercial development projects. We’ve been doing these investments for years, mostly in low-income housing, commercial rehabs, and renewable energy projects. This has been an ongoing source of core earnings and as important business supporting our communities. We’ve identified more investment opportunities with the strategic tax hire and the help of our regional commercial teams; this gave us a net $0.04 EPS pickup in the most recent quarter. Further details are on Page F9 of our earnings release. I’ll add that this is really a revenue benefit, although it appears in the tax line. Our core EPS is expected to benefit from these investments going forward and we anticipate reinvesting some of the tax revenue in people and systems to help reach our market-share goals particularly on the fee income side. We’re expecting a similar quarterly benefit for the rest of the year, although we plan to reinvest about half of it, which will show up in higher operating expenses. Our core tax rate was a little under 10% in the first quarter, but it is expected to increase to the 15%, 20% range including the additional Hampden income. Adding back the $2.9 million for the tax credit would have otherwise resulted in a core tax rate of 29% for the first quarter, similar to where we were trending last year. We’ll continue to adjust future expectations on a quarterly basis along with detail on the financial impacts including the reinvestments. Taking it all together, we expect to deliver the same kind of core EPS as we did this quarter including our planned reinvestment in some of the tax revenue. GAAP results will be impacted by the merger and restructuring costs associated with associated with branch closing, which is an aggressive initiative for us right now. The Hampden acquisition has closed and we are working towards conversion in June. Timing of the merger has been spot on and we feel confident in our ability to meet the 35% cost save target when integration is complete. The integration of Hampden is expected to be accretive to profitability measures including ROA and our capital ratios. We don’t expect any EPS benefit in Q2, but I look forward to providing further benefits on the status of the acquisition next quarter. With that, I would like to turn it back over to Mike.
Michael P. Daly: Thanks Josephine, nice job. So, as Jo said, we’re looking for second-quarter core EPS that’s in line with what we reported this quarter and we’re focused on building out our fee businesses including wealth and cash management services, and we do plan to reinvest some of the tax revenues to do just that. Now, these tax advantaged projects will provide us with about $0.04 a quarter for the rest of 2015, we do expect to invest about half of that into our fee income infrastructure thereby providing a stronger fee income base as we head into 2016. So, this is good business with positive earnings impact and it’s a good investment in the franchise. So, I’m pleased with our performance this quarter and our momentum heading into the second quarter. We continue to concentrate on generating positive operating leverage through growing revenues, maintaining expenses and improving our profitability. We do this while also adhering to our disciplines in asset selection both from credit perspective as well as in asset sensitivity perspective. We saw sequential improvements in core profitability measures once again this quarter and we expect to see further improvement as we generate payback from our investments in Hampden and our fee revenue business lines. We are dedicated to our long term goals here and I believe we’re making good progress. We welcomed three new board members in the last month Tom Burton and Richard Suski, who are former Hampden board members and Paul Bossidy former President and CEO of GE Capital Solutions. Each of these directors brings unique experience and perspective to our board and we’re excited to have them join us. We also said good-bye to John Altmeyer who retired from the Board this month, so on behalf of the entire board, I want to thank him for his service and wish him the very best of luck in his future endeavors. Turning to shareholder utterance for a minute, I would like to point out that after raising the quarterly dividend by 6% to $0.19 in the first quarter; we had maintained our dividend yield near the 3% level. Now we all know the rate environment remains uncertain and we’re managing to that the best we can despite some evidence of macroeconomic weakness in the first quarter including employment data and GDP growth revisions, we do continue to think it’s prudent to maintain our asset sensitivity and we will. Meanwhile the local economy does feel like its slowly but surely gaining steam, loan growth is strong and line utilization is ticking up a bit. There remains plenty of opportunity for taking market share from the large banks while providing quality products and services for our customers that I'm certain. We've built the strong franchise and we continue to put forth results to demonstrate our ability to grow this business organically. As I’ve said in the past, M&A opportunities will continue to come up from time-to-time, but our focus remains on leveraging our existing business and taking advantage of the synergies that we can develop here. Our footprint, our teams and our America’s most exciting bank culture will continue I think to be differentiators for us. So I'm confident in the opportunities in front of us and I'm very confident in our teams’ ability to capitalize on that. Now with that, we’ll open it up to any questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And the first question comes from Mark Fitzgibbon with Sandler O'Neill. Please go ahead.
Mark Fitzgibbon: Hey guys good morning.
Michael P. Daly: Good morning, Mark.
Mark Fitzgibbon: Josephine it was helpful your guidance on the second quarter for the margin, but could you possibly help us think about the margin in 3Q, 4Q given the purchase accounting adjustments since you have coming down the pike on Hampden?
Josephine Iannelli: Yes. You know Mark, we’re not really giving guidance out that far, we've been doing it with just the quarter ahead of us and I think that’s about as much as we can do today on the call especially as the finalized things with the Hampden will provide a little bit of more color on the next call, but otherwise we’ll stick with the Q2 guidance.
Michael P. Daly: But it is going down.
Josephine Iannelli: Correct.
Mark Fitzgibbon: Okay. Secondly on the tax rate, so the tax line will show roughly a 15% to 20% effective tax rate, is that correct exclusive of the negative result you will see in other income?
Josephine Iannelli: Correct, yes.
Mark Fitzgibbon: Okay. And is it likely that there will be much variability in that tax rate from quarter-to-quarter or is it likely to be pretty stable?
Josephine Iannelli: I think you know the 15% to 20% range is pretty stable.
Mark Fitzgibbon: Okay. And then I wondered if you could share with us Mike or somebody there if the size of the pipelines today and maybe what the average yield on that pipeline is?
Michael P. Daly: Yes. So pretty good aren’t they George?
George F. Bacigalupo: Yes. I'll explain Mark this is George. Pipeline has been consistently around we've mentioned $140 million, $150 million each of the last several quarters, it is up above 10% today and that does not include some healthy pipeline from the Hampden team in Pioneer Valley, so we're pretty optimistic about our pipeline and I think that we’ve really shown some good discipline on a margin side and continue to make sure that our margin is moving upward as well.
Michael P. Daly: Joe you had some statistics and yield that Mark might be interested in with that question.
Josephine Iannelli: In terms of the commercial yields, we did see that commercial expanded three basis points in the current quarter; it was a nice solid quarter for commercial.
Mark Fitzgibbon: Okay, and then lastly and I know it’s early, but any surprises positive or negative on Hampden?
Michael P. Daly: No surprise is negative, I’m not surprised, but I’m thrilled with the kind of momentum we’re seeing out of the employee base. So it’s all good right now.
Mark Fitzgibbon: Terrific. Thank you.
Operator: The next question comes from Casey Haire with Jefferies. Please go ahead.
Casey Haire: Hey good morning guys.
Michael P. Daly: Good morning.
Casey Haire: Wanted to touch on the efficiency ratio, it looks like branch optimization is going to be well in addition to revenue growth is going to be the means by which you guys get there, it also sounds based on your commentary Joe that like the intermediate term that we could see - I mean it sounds as though you guys were shooting for that sub-60 ratio at some point this year, it is that a fair representation?
Michael P. Daly: I don’t think that we made that representation Casey and would be - challenge our group if we had. So I don’t think we made that representation, it’s too early to come out of a gates with that kind of a suggestion to be honest with you.
Casey Haire: Okay it’s fair enough, I was just checking. It sounds like - so I mean this is going to be in addition to Hampden branch closure you have some other things that sounds like you guys are looking at and then these are just some more steps that you guys have to take to eventually get under 60%?
Michael P. Daly: Oh yeah and we’re going to go as fast as we can and we’re going to be as efficient as we can I just don’t want to promise something that we haven’t determined to be deliverable yet.
Casey Haire: All right, so is past 2015 safe to say?
Michael P. Daly: Well let’s say that for today. Yes.
Casey Haire: Okay fair enough and then a question on the loan mix, it sounds like part of the NIM support here is remixing from the lower yielding consumer buckets into the higher yielding commercial buckets. Just curious, do you guys have a - I mean with the loan book split 50/50 between consumer and commercial call it, is there a minimum threshold of consumer loans that you want to hold or is there no target level?
Michael P. Daly: I don’t think there’s any minimum on the consumer loans, consumer loans can churn when they churn and in a different rate environment it would probably be a different scenario today, so I don’t think there is some...
Sean A. Gray: And Sean Gray here. We still continue to be focused on good growth and good profitable growth in markets that we’re new to and expanding in. So I think we’re going to be very disciplined with what we put on in anytime you’re seeing an abundance of commercial growth that gives us flexibility and options. So we’ll continue to balance it, but we haven’t said a minimal threshold at this point.
Casey Haire: Okay and then just last one from me Joe. Just to clarify on this tax advantage strategy. So the tax rate for next quarter somewhere in the ballpark of 15 to 20 what should we be - do we have any idea as to what the other income charge would be is that similar to what it was in the first quarter here or how do we think about that play between the tax rate and the other income line?
Josephine Iannelli: Yes, Casey we would expect to see it consistent to what we saw here in Q1.
Casey Haire: Okay. Thanks very much.
Michael P. Daly: Thank you.
Operator: The question comes from Collyn Gilbert with KBW. Please go ahead.
Collyn B. Gilbert: Thanks. Good morning everyone.
Michael P. Daly: Hey Collyn.
Josephine Iannelli: Hello.
Collyn B. Gilbert: I just want to clarify Joe you had said that an uptick in the provision we would expect in the second quarter, but once Hampden closes and in the out quarters should we expect an elevated provision just because of the originations coming out of Hampden?
Josephine Iannelli: Not so much related to Hampden, more just the solid organic growth that we’re seeing in our markets.
Collyn B. Gilbert: Okay, okay and then just a question on the loan yield the commercial loan yields you guys said were 393 just curious what the pipeline yield was?
Michael P. Daly: People are looking diligently at their notes.
Josephine Iannelli: We’re looking - give me a second here Collyn.
Collyn B. Gilbert: And you know what I’ll keep going while you guys are looking.
Michael P. Daly: Yes, that would be great.
Collyn B. Gilbert: Okay so Mike you talked about and Josephine if you have covered this I apologize, but obviously growth is going to be boosted by Hampden in the second quarter do you have an organic loan growth target for 2015 that you guys are hoping to achieve all-in recognizing the movement obviously between resi and commercial but just all-in?
Michael P. Daly: Yes, all-in I think the low to mid-single digits is where we've been, we are at 4% I think on a net basis this quarter and I think that’s a pretty good range for us.
Collyn B. Gilbert: Okay I'm going to keep going till I hear you guys on that commercial, so just Mike going back to your comments about maintaining, wanting to maintain your sort of asset sensitivity, can you just sort of walk us through how you’re thinking about that because I think your 10-K disclosures said up 200 basis point environment and NII I think only moved up like 40 some odd basis points. So how are you looking at this assets sensitivity?
Michael P. Daly: Well we’re looking at the forward rate swaps as being the real [indiscernible] when it comes to protecting us against any material increase in interest rates. Joe you look like you want to jump in here?
Josephine Iannelli: Yes, you know Collyn we generally look at it on a 200 basis points scenario and from that perspective we’re generally neutral in year one, but then we do become asset sensitive somewhere around that 2% and fully phased in closer to 5% once all of the swaps kick in which they start kicking in mid-2016 and then certainly as we see CDs reprising et cetera.
Collyn B. Gilbert: So I'm sorry, so the 2% to 5% you are talking about is it fed funds reaches that level that’s when the asset sensitivity kicks in?
Josephine Iannelli: No, it would be when the actual forward rate swaps kick in, they are forward starting, they start in the mid-2016, they are staggered but they are fully triggered all of them by the end of 2016.
Collyn B. Gilbert: Okay and just so we understand what rate assumptions are you guys making in your own projections? I mean you are totally following the forward rate curve, okay.
Michael P. Daly: Yes. You know it would be nice if that changed a little, but it is what it is.
Collyn B. Gilbert: Okay, okay. So I think that was it, so did you find those yields?
Josephine Iannelli: Yes Collyn you know we would expect from what I’m seeing here in the pipeline to look pretty much consistent with what we saw here in Q1 looking to maintain that yield.
Collyn B. Gilbert: Okay, great. That was all I had guys. Thanks guys.
Michael P. Daly: Thanks.
Operator: The next question comes from Laurie Hunsicker with Compass Point. Please go ahead.
Laurie H. Hunsicker: Yes hi good morning.
Michael P. Daly: Hey Laurie.
Laurie H. Hunsicker: Joe I just wanted to go back over tax rate again, I wanted to make sure this right, so if we’re thinking about the actual tax advantage commercial project investment credits that flow through, if we take your 30% core rate and we assume that in that tax fine there is $4 million round numbers every quarter that credit against that and this is obviously assuming that all of the timing on the cash flows and everything stays completely consistent with the tax credit, is that the right way to be thinking about that line?
Michael P. Daly: I think it is.
Josephine Iannelli: Yes you are going to see the revenue flow through on the tax expense line and I would expect that to be similar in the $4 million range and then the tax credit offset in another asset should be consistent as well in the other quarters...
Laurie H. Hunsicker: Right the $2.9 million that shows up negative in non - okay in non-interest income, okay great just wanted to make sure I was thinking about that the right way. And then what are the one-time charges that are expected with Hampden next quarter?
Josephine Iannelli: I'm sorry can you repeat that Laurie?
Laurie H. Hunsicker: Sure, the one-time charges with Hampden obviously you had some this quarter $3.3 million, what are you looking at for next quarter?
Josephine Iannelli: You know obviously the most of the deal cost are expected to flow through in Q2 so we will be seeing the remaining; some of the branch closing cost that we have announced with Hampden will be flowing through there as well. We have the conversion scheduled in June so you will see those cost flowing through as well. It’s the lion’s share of the deal cost from when we announced the deal.
Michael P. Daly: Yes, I mean we are hopeful that almost everything is flushed out in the second quarter and our third and fourth quarters are clean again.
Josephine Iannelli: Yes.
Laurie H. Hunsicker: Okay so just we were thinking about mile and pro forma book value, think I had in my notes there would be $8.8 million left is that right is that a close number or has that been adjusted?
Josephine Iannelli: Laurie I think that as we get through with the Hampden deal closing we’re still working the purchase accounting, but I'm not seeing any surprises, we’re tracking according to what we had announced at the time of the acquisition
Laurie H. Hunsicker: Okay and so just along those lines, obviously your tangible book was $17.46 at March, but if we were to pro forma that with everything, with Hampden, I’m getting a $0.20 less number, $17.26; is that in the ballpark?
Michael P. Daly: No.
Laurie H. Hunsicker: Do you have pro forma number that you are sharing with us?
Michael P. Daly: We’re not, but that one’s wrong that I could tell you, because it’s going to go up, not down.
A – Josephine Iannelli: Yeah, and, again, once we…
Laurie H. Hunsicker: Your tangible book will…
A – Josephine Iannelli: Once we get through here the next couple of weeks and finalize our opening balance sheet, we’ll share more of that in the next call.
Laurie H. Hunsicker: Okay, great. Okay and then Mike, one last question for you. Now that Hampden is completed, I guess, can you talk a little bit about your appetite for M&A, where you’re looking, what your size is, what your parameters are? Can you just update us on that? Thanks.
Michael P. Daly: Yes. You know, the parameters are the same and really so is the geography and we’ve been pretty comfortable internally here in just making sure everybody is focused on getting all of the synergies we can out of all the markets we’re in. I’m starting to see real evidence that that’s starting to happen, so we’re not going to take our eye off that ball now. You know, the more we do of that, the better we do, the stronger the company will be. The currency, of course, will be a little bit stronger and if there are opportunities to do things and, you know, we can do them with strong double-digit investments. We can do them in market. Those are the kind of things we’re going to be interested in looking at, but the appetite – I’m not hungry every morning to get up and go look for a deal, Laurie. I’m really hungry every morning to look and see how much better we doing in the markets we’re in and just feel as though the better we do the more opportunity there will be.
Laurie H. Hunsicker: Great and just one last question Mike. Will you remind us roughly how many people you have in your Compliance and BSA department? Thanks so much.
Michael P. Daly: Sure, and thank you. I think, if you take generally, direct, indirect groups 15, 20 people; you know.
Laurie H. Hunsicker: Great. Thanks. End of Q&A
Operator: This concludes the question and answer session. I would now like to turn the conference back over to Mike Daly for any closing remarks.
Michael P. Daly: Okay. Well, I appreciate everybody signing us today and we certainly look forward to speaking with everybody again in July. We’ll discuss the second-quarter results and hopefully we can answer any other additional questions that we weren’t able to answer today with a little more specificity. Okay.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.